Operator: Good morning and welcome to H&E Equipment Services Fourth Quarter and Year-end 2014 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the conference over to Mr. Kevin Inda. Please go ahead.
Kevin Inda : Thank you, Noah, and welcome to H&E Equipment Services conference call to review the company's results for the fourth quarter ended December 31, 2014 which were released earlier this morning. Format for today's call includes a slide presentation which is posted on our website at www.he-equipment.com. Please proceed to Slide 1. Conducting the call today will be John Engquist, Chief Executive Officer; Brad Barber, President and Chief Operating Officer; and Leslie Magee, Chief Financial Officer and Secretary. Please proceed to Slide 2. During today's call, we'll refer to certain non-GAAP financial measures, and we've reconciled these measures to GAAP figures in our earnings release which is available on our website. Before we start, let me offer the cautionary note. This call contains forward-looking statements within the meaning of federal securities laws. Statements about our beliefs and expectations and statements containing words such as may, could, believe, expect, anticipate and similar expressions constitute forward-looking statements. Forward-looking statements involve known and unknown risks and uncertainties which could cause actual results to differ materially from those contained in any forward-looking statement. These factors are included in the company's most recent annual report on Form 10-K. Investors, potential investors and other listeners are urged to consider these factors carefully in evaluating the forward-looking statements and are cautioned not to place undue reliance on such forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after the date of this conference call. With that stated, I'll now turn the call over to John Engquist.
John Engquist: Thank you, Kevin, and good morning, everyone. Welcome to H&E Equipment Services Fourth Quarter 2014 Earnings Call. On the call with me today are Leslie Magee, our Chief Financial Officer; and Brad Barber, our President and Chief Operating Officer. Slide 3, please. Our call this morning will be structured differently than previous calls as we want to address market concerns regarding our oil and gas exposure and the current trends in our end user markets. My comments will focus almost entirely on this issue then Leslie will briefly review our fourth quarter and full year financial results. When Leslie concludes I'll discuss our outlook for 2015 after we will take your questions. We have purposely abbreviated our prepared remarks so we have ample time to answer your questions. Proceed to slide 5, please. Leslie will go through our financials but let me just say that fourth quarter represents a strong conclusion to the great year for our company as we continue to successfully capitalize on the accelerating recovery in the non-residential construction market. Our business carried a significant amount of momentum throughout the fourth quarter and we continue to see this momentum as we move into 2015. Overall it was another strong quarter and a great year for our business. Slide 6, please. Our Gulf Coast and Intermountain regions continue to account for the majority of our revenue and gross profit in 2014. We recognized that in light of the recent significant decline in oil prices investors may have concerns about our exposure to oil and gas exploration and production activities as well as from the potential side effects associated with prolonged lower energy prices particularly in our Gulf Coast region. Therefore we want to address these issues in greater detail. Please proceed to slide 7. First, only 13% of our total revenue in 2014 was directly related to oil and gas but we want to break it down even further for you to validate just how minimal we believe the impact would be on our business if current pricing levels are prolonged. In 2014 our approximate exposure to upstream activity the first part of the oil patch to feel the effects of lower oil pricing was only 12% followed by less than 1% in midstream and less than 1% in downstream activity. Of the 12% of upstream exposure we estimate that 95% is tied to production which is proven to be less sensitive to volatile oil prices and exploration. We're closely monitoring our end users and customers in oil and gas markets and are prepared to quickly redeploy assets in the event we begin to see softening of utilization in oil patch. While we expect oil patch activity softening in 2015 due to current oil prices and may see a resulting decline in our revenues related to that activity. We believe significant growth opportunities exist in the construction markets which we believe should see a net benefit from lower fuel cost. We also see significant opportunities from industrial projects in the Gulf Coast that tied to low natural gas prices. Proceed to slide 8, please. The most important point I want to make on this slide is that our fleet mix is an extremely positive factor for us in any market environment. You will see from our fleet mix breakout that none of our fleet is specialized for applications in oil and gas industry or any other industry for that matter and is 100% transferable between end markets. Fleet mix is core to our fleet management strategy, we have strong fleet management systems in place and can quickly and efficiently redeploy fleet into other regions if we experience a decline in demand related to oil and gas in a certain geographic region like the Gulf Coast or in any other situation. This is evidenced by our industry leading rental revenue growth and utilization. We have always stated that our CapEx plans are flexible and can be adjusted either up and down or down in short order. If significant fleet is transferred to other regions we will have the flexibility to redistribute or reduce our CapEx plan for the year. Proceed to slide nine please I want to highlight several important points on this slide is they relate to our oil and gas exposure. As I’ve stated earlier oil and gas accounted for only 13% of our total revenue in 2014. Over 70% of this exposure is in our Gulf Coast region and 50% is in Texas. We believe this is important because the majority of our rental fleet in Texas is in the Eagle Ford shale which is one of the lowest lifted cost per barrel shale plays in the U.S. It is also important to reemphasize that 95% of our fleet is deployed on production sites that are not as sensitive to volatile oil prices as exploration is. I want to also point out that our utilization in Texas remains strong and nearly 75% of our total revenue in Texas in 2014 was tied to construction activity other than oil and gas. Please proceed to slide 10. Finally let me focus on a few key takeaways relating to the potential impact of reduced oil and gas prices on the construction markets we serve. The ongoing recovery in the non-residential construction markets has not been limited to our oil reach states. It has been broad-based occurring across the nation. Construction spending related to oil and gas accounts for only 4% of the total construction spend in the U.S. We believe as do others the low oil prices will be a net positive for the construction markets creating growth and opportunity for our sector. This should help mitigate any slowdown in [oil] patch activity. We are also heavily active in many other sectors of the industrial market in our Gulf Coast region that we believe will not be materially impacted by low oil prices. These markets include petrochemical, manufacturing, shipping, infrastructure, transportation, power, public works and utilities, among others. As noted earlier, we understand that investors may have concerns about the potential impact of low oil prices on the industrial expansion in Louisiana and Texas. These concerns were likely intensified in January 2015 when the Sasol gas to liquids facility in southwest Louisiana was shelved. This project differed from other chemical projects announced in Louisiana and Texas due to its use of natural gas to compete with oil to produce liquid transportation field such as diesel. This process is totally different than chemical manufacturing’s traditional use of natural gas to produce products like ethylene, ammonia or methanol. These projects, which there are many, are not tied to the price of oil and are driven by low natural gas prices. Based on reports and feedback we expect the vast majority of the chemical manufacturing projects to proceed as planned. Roughly we’ll provide some additional commentary at the end of her remarks, regarding our views on this issue from a financial impact perspective. At this time I’ll turn the call over to Leslie Magee.
Leslie Magee: Good morning and thank you John. I’ll begin on slide 13 but will keep my remarks brief, so we have additional time for Q&A. We’re pleased with our result this quarter from the high level total revenues increased 14.7% to 297.8 million and gross profit increased 16.4% to 95 million compared to the same period last year. The strength in rental demand and solid growth in our new equipment, and parts and service businesses were the primary drivers of our consolidated revenue growth. Our rental business again generated strong growth and returns. To touch on a few key areas rental revenues increased 22.6% to 110.8 million for the quarter over the same period a year ago and while our fleet size has grown significantly we operated at high utilization levels with average time utilization based on OEC of 72.4% for the quarter compared to 71.9% a year ago. Also, average rental rates increased 3% over a year ago with positive rate change in all product lines and 0.6% over the third quarter of this year. Our dollar returns were 35.8% compared to 36.2% a year ago. New equipment sales were 87.2 million, up 12% from 77.8 million a year ago. This was driven by higher demand for earthmoving sales which saw a 51.3% increase in sales and was partially offset by lower new crane sales. Used equipment sales were 37.2 million down 1.9% from the fourth quarter of 2013. Sales from our rental fleet comprised 80.1% of total used equipment sales this quarter compared to 85.1% in the fourth quarter a year ago. For the third consecutive quarter our parts and service segments delivered solid double-digit growth with the 16.6% increase in revenue to 46.5 million on a combined basis. Total gross profit for the quarter was 95 million compared to 81.6 million in year ago an increase of 16.4% on a 14.7% increase in revenue. Consolidated margins expanded to 31.9% compared to 31.5% a year ago primarily driven by higher rental gross margin of 49.3% compared to 48.9% a year ago and new equipment sales gross margin of 11.9% compared to 10.7% last year. Slide 15 please, income from operations for the fourth quarter increased 22.1% to 41.2 million or 13.8% margin compared to 32.8 million or 13% margin a year ago. The main drivers of the increased with the strong performance of our rentals and new equipments sales of business segments I just mentioned combined with increased operating leverage in the business compared to year ago. Proceed to slide 15. Net income was 16.7 million or $0.47 per diluted share compared to 14.6 million or $0.41 per diluted share in the same period a year ago. Our effective tax rate increased to 40.4% compared to 31.1% a year ago due to lower benefit from permanent items in the current quarter. Please move to slide 16. EBITA was 87.1 million or 22.8% increase over the same period last year and EBIDTA margins were 29.2% compared to 27.3% a year ago. Next slide 17. SG&A was 55.2 million and 11.2% increase over the same period last year and driven and in part by increased wages incentives and benefits of approximately 2.3 million largely due to the growth in the business since a year ago. SG&A as a percentage of revenue was 18.2% this quarter compared to 18.8% a year ago. Slide 18 and 19 include our rental fleet statistics and during the fourth quarter we increase the size of our fleet by 46.1 million or 3.9% based on original equipment cost. We ended the year with an original equipment cost of our fleet of 1.2 billion versus 1 billion a year ago an increase of 24.2% or 242.3 million. Our growth fleet capital expenditures turning to fourth quarter were 96.4 million including non-cash transfers from inventory and net rental feet capital expenditures for the quarter were 66.5 million. Growth PP&E CapEx was 8.2 million and net was 6.8 million. Our average fleet age as of December 31, 2014 was 31.7 months. Next slide 20. At the end of the fourth quarter, our outstanding balance under our ABL facility was $259.9 million and therefore, we had $136.1 million of availability at quarter end under our ABL facility, net of $6.5 million of outstanding letters of credit. On February 05, 2015 we increased the size of our senior credit facility by 200 million which reduces our liquidity position. We determine it was an appropriate time to utilize a proportion of our surpassed assets and adjust the size of our credit facility to better match the growth in the size of the business and provide increased financial flexibility. Based on our asset values we continue to operate with significant suppressed availability even after increasing the total availability under the facility to 602.5 million. Next slide 21. Let me review our full year 2014 results and to quickly summarize 2014 was a great year resulting in total revenues of 1.1 billion a 10.4% increase over the last year as well as our 15.3% increase in gross profit and a solid gross margin of 31.9% even with a significant a larger fleet timing utilization remains high at 72.2% based on early stage and we raised rental rates 2.8% for the full year. Income from operations increased to 143.7 million on a 13.2% operating margin compared to 115.3 million on 11.7% margin in 2013. Net income increased to 55.1 million or $1.56 per diluted share and in 2014 versus 44.1 million or $1.26 per diluted share in 2013. We finished the year with EBIDTA at 311.6 million on a margin of 28.6% compared to 255.5 million on a margin of 25.9% a year ago. Now please proceed to slide 22, lastly as John mentioned I'll provide some additional color on a sensitivity analysis we have prepared today to demonstrate possible impacts to our business as a result of prolonged energy prices at current levels. I think it's important for you to understand a few things before walking through this analysis. [One week like] a different view of the downside scenarios to our rental business versus our distribution business and secondly still we applied to conservative assumptions based on what we see today and how we feel we could react if we were impacted to a larger extent than today's view point. And third, we apply these conservative assumptions to our full year 2014 result as a baseline for illustrative practices. In our rental business we assumed our oil and gas related revenues declined 25% in 2014. We also included an assumption that we were able to redeploy only 50% of any idle equipment due to the assumed 25% decline in oil and gas activity. Next we eliminated 100% of all new oil and gas crane sales in 2014, our oil and gas crane sales have consistently approximated 25% of new sales over years and consistently represent the majority of oil and gas related new equipment sales, so we felt this was an appropriate yet conservative assumption. As for our parts and service businesses we eliminated 25% of oil and gas related revenues from our 2014 result. The result of this modelling was an approximately reduction of 2014 revenues by 80 million and 2014 EBITDA by 12 million which has only a 15% flow through due the revenue mix or higher waiting for new equipment sales. Based on our 2014 results we viewed 7% of revenues and 4% of EBITDA as minimal. We hope this provides you with some framework to better understand our exposure, the potential impacts and how we would react. I'll now turn the call over to John to discuss our current outlook and then we will open the call for your questions. 
John Engquist: Thank you, Leslie, please proceed to Slide 24. Before we open the call to questions, let me quickly close by saying we believe significant growth opportunities will continue into 2015 driven by continued improvement in the construction markets and the industrial expansion in the Gulf Coast. Our outlook is positive based on the current trends that we see in our business and the deep penetration we have established in our wide ranging industrial customer base. Although we are currently experiencing some year-over-year declines in physical utilization on a much larger fleet due to softness in some of our oil field markets and implement weather, demand for rentals is strong and we expect further revenue growth this year. Based on this we expect continued fleet growth during 2015 although at a moderated and more normalized level compared to our significant spending during the last three years -- during 2014 we grew our fleet 24%. Further we expect growth in profitability in 2015 despite the impact of lower oil prices. Our company remains focused on solid executions, greater productivity and returns for our shareholders. I hope we have provided a more granular view of our outlook into 2015, current trends in our markets and address the questions regarding the potential impact of lower oil prices on our business. We're pleased with overall trends in our business and opportunities for our business in 2015. At this time we will be happy to take your questions, operator please provide instructions. 
Operator: Thank you. [Operator Instructions] And we will take our first question from Joe Box with KeyBanc Capital Markets. 
Joe Box : John, you just mentioned that there's been a little bit of softness in time used on a larger fleet, really just because of a couple of oil and gas markets. But can you just give us a snapshot of maybe what you're seeing for utilization so far in Texas and Louisiana? Just curious if it's down meaningfully there or if it's just down slightly and maybe what volume of equipment on rent looks like?
John Engquist: Joe it's down across the board. And look a lot of this due to a much larger fleet -- some of it is due to softness in markets like Midland where we've some utilization come down some. And frankly we're getting an impact from weather; we typically don't talk about weather on our calls. I mean you have weather every year. But I tell you we've had nine states [530] branches that have had a significant impact here in February from weather. So that’s part of it also but our utilization in Texas is still strong. The oil field presence in the Eagle Ford shale is still holding up -- they are running between 75%, 79% the Permian Basin which is primarily Midland for us it's seen some declines it's softened. But overall I think the decline we've seen in utilization has been the three things much bigger fleet, weather and then and some impact from certain oil patch market. 
Joe Box: And then I appreciate the breakout earlier of upstream exploration versus production. I think it's easy for us and investors to understand what type of equipment and the number of pieces of equipment that get tied to each rig. So, I've got to say I'm a little surprised that 95% is production and only 5% is exploration. I guess I would have thought that it would have been the other way around. Can you maybe just tell us what applications and the type of equipment types that are used in the production side, so we can have a better understanding of it?
Bradley Barber: Sure, Joe this is Brad. The primary products you will find out there will be telehandlers that are loading and unloading on current production sites; 60-foot boom lifts, air compressors of various sizes and light plants. Many of this, they are needing light at night. So I mean that would be kind of the bread and butter machine that support all of these production sites. 
Unidentified Analyst : Is this during the drilling and fracking process or is this post that?
Bradley Barber: It’s both, but it's certainly post that as well. 
Unidentified Analyst : Okay. Can you maybe just comment on the dollar utilization? I’m trying to reconcile why rental rates were up, utilization was up slightly, but yet dollar utilization was down. Was that really all a function of mix? And maybe if you could help us understand what’s in your other bucket? 
Bradley Barber: Joe, its two things, mix is part of it but the biggest driver of that with our extremely young fleet age, we have a -- that’s a real advantage for us. It’s a competitive advantage, it’s a real benefit at the point in time we enter some type of a downturn, because we can go a long time but not spending any money. The negative is it’s a significant inflationary headwind that put some pressure on your dollar return. When you get down around 30 month fleet age you sold out so much your old stuff and your average cost per unit goes up significantly it put some pressure on the dollar utilization. We think it’s a great trade-off and we like where we are but that’s the big driver of it. It’s just an inflationary headwind.
Unidentified Analyst : One last one then I’ll turn it over. You talked earlier John about moderating fleet growth. Is moderation 5%, is it low single-digit? What’s kind of normal for you at this point in the cycle? It’s kind of tough for us to forecast it here. 
John Engquist: Joe, before the oil prices imploded just by normal course we were probably going to reduce our gross spend somewhere in the 25%, 30% range. We’ve made some further adjustments based on oil patch. We’re going to have some fleet growth this year but it’s going to be relatively modest. I hope that’s helpful.
Operator: We’ll take our next question from Nick Coppola with Thompson Research Group.
Nick Coppola : Just building on one of those earlier question, do you think you’re seeing any decline it utilization in any of those energy intensive areas from less non-res work or do you think it’s just the oil and gas side and the weather that you talked about? 
John Engquist: It’s strictly oil and gas and weather, I mean we are seeing absolutely no contingent for lack about a word, the utilization is very strong in those markets outside of the oil patch. And again we’re getting some weather impact but as you know that’s temporary, that will be a bad memory here in about 30 days.
Nick Coppola : And then on the petrochemical projects there that you’re expecting to benefit from, I’m just looking for a little bit more color there. It sounds like you expect for a majority of those to continue to occur. Any color on just when you expect those to ramp up and when you expect to kind of hit your rental and new sales business? 
John Engquist: Well, I think the vast majority of it is still in front of us. We’ve had some projects start. Sasol started their ethylene project; it’s about an $8 billion project and we’ve got some equipment on that as we speak both equipment we’ve sold and that we are running, that’s a really a good project. But the majority of this stuff is still in front of us. And look, we’ve said all along from day one that all of these announced projects wouldn’t happen. The Sasol gas to liquids facility that being shelved did not surprise us at all. As I stated earlier, that’s a gas to liquid fuel facility that competes directly with oil to produce transportation fuel. So that was no surprise. We’re probably going to lose some L&G facilities. I think there is a correlation between low. There needs to be significant separation between oil and gas for those to make sense. So let say we some of those, but this traditional chemical manufacturing facilities for ethylene and ammonia, methanol and lot of other ones. There was the $2.4 billion alumina manufacturing facility announced in Louisiana last week, just a tremendous job. And we’re still on the real good spot from the standpoint of manufacturing, mostly chemical manufacturing some there is some steel, there is aluminum and some other things coming that are going to put us in the good spot for several years to come.
Operator: We’ll take our next question from Steven Fisher with UBS.
Steven Fisher : On the reduced CapEx, can you maybe just give us some regional color, where you’re going to be increasing CapEx and where you might be reducing it? Just kind of curious where you feel the markets are strong enough that you’d be transferring your dollars into? 
John Engquist: Well when you look at where we’re reducing that’s pretty simple, I mean it's going to be in the oil patch. I mean when this thing first started we immediately eliminated growth capital there and as we see where things goes and as we see where utilization does we make further cuts to CapEx in those markets or transfer out some fleet out of there which we will then in turn reduce some CapEx in some other markets.
Bradley Barber: We have five or six locations that certainly fit the mold of what John is speaking of that have more opportunity to be impacted by oil and gas if this continues for some period of time, that being said the remainder of the growth as we think about it covers all our geography there is not another specific location or group of locations that not anticipating growth this year and playing for. So it's very broad based across all product type and these process our entire geography with the exception of these handfuls of oil heavy locations. 
Steven Fisher : I guess I'm trying to gauge specifically in the Gulf Coast. I know it sounds like there's still a lot of optimism around petrochemicals. Are you anticipating adding fleet into the petrochemical market and projects in the Gulf Coast this year? 
Bradley Barber: Yes we are.
John Engquist: And dominantly I'm starting their Steven is the timing of these projects we've already added fully again in South West Louisiana on the Sasol ethylene project we'll be putting fleet on this aluminum manufacturing project. Some of this ammonia plants and ethanol plants get kicked off we're going be working those things hard but a lot of that's still in front of us. It's a timing issue.
Steven Fisher : I don't know if you can clarify in terms of rental revenue growth for this year, are you thinking kind of single-digit or double-digit and then maybe how you're thinking about your year over year pace in the first half versus the second half. 
John Engquist: Look let me take this opportunity and say a couple of things Leslie pointed out that playing sales into the oil patch accounts for 20% of our new equipment sales. That’s the area we would expect to get the most impact in our business from lower oil prices. So we would expect new claims sales actually we would expect new equipment sales to be down somewhat year over year. I think the biggest impact will be in the first two quarters there and I think we'll see some strengthening in the second half of the year. But rental can be up solidly new crane sales is 9% or 10% gross margin rentals bumps 50% is going be up solidly and that’s what's going drive improve profitability in our business.
Operator: We'll take our next question from Seth Weber with Royal Bank of Canada.
Seth Weber : I'm wondering if you can clarify, when you talk about moving fleet around or relocating fleet, is that moving fleet out of the energy patch, the states that are there? Are you moving it out of Texas or Louisiana into other states or are you just talking about moving it within these states, within these regions to other applications other than oil and gas applications? 
Bradley Barber: The answer is somewhat both with primarily within that tighter geography I think we talked about our physical utilization last year north of 72% for the year. We do a really nice job of fleet management, we're quick to respond, we've certainly taken to account moving it to the nearest location to both minimize the transportation cost as well as increase the efficiency getting back on it quick. And so within the state of Texas for example we have moved some products out of Midland as John spoke about right. It's not a catastrophic situation but we moved a handful of truckloads out of that location. And most of those have gone to other Texas locations that will continue to be the case some of these markets Houston and Dallas are very robust projecting nice growth this year and we would want to further if need be we certainly can go forward we have not really seen that need we don’t expect we will.
Seth Weber : When you talk about adding fleet, for example for the petrochem projects, is that based on projects where there are shovels in the dirt already or are you anticipating some additional projects to start this year? 
John Engquist: Both I mean there is projects underway there is some ethanol projects underway there is some several chemical manufacturing facilities. But it’s both Joe I mean we got some going now we got more in front of us.
Bradley Barber: Earlier in the year it's typically turnaround season you'll so aware what they called the turnaround shutdown season. So it's really common for maintenance to be occurring and we see that having that as normal phase.
Seth Weber : Can you talk about your expectations for free cash flow in a scenario where CapEx is flat to up this year? 
John Engquist: Yes look when we moderate our spending it has a very positive impact on free cash flow. Our cash flow will improve materially when we moderate our spending.
Seth Weber: When you moderate the spending growth you mean or when you moderate the absolute number?
John Engquist: When you moderate the top side absolute number which in effect moderates growth also it does both. But when we pull that down a little bit it has a very positive impact to cash flow.
Operator: We’ll take our next question from Fred Lawrence with Avondale Partners.
Fred Lawrence: Two quick questions; the first one I guess, how would you guys handicap the likelihood of that scenario that you outlined in your slide deck playing out? That’s sort of the first question, and then for you, John, I'd just be interested in hearing your thoughts on the potential for follow-on reductions in O&G CapEx into 2016, when some of these guys lose protection that they have this year from in-the-money hedges, if you will. Is this just sort of the tip of the iceberg for spending cuts or how would you look at maybe the next 18 to 24 months in that business?
John Engquist: Well look the issue we have I mean you can talk to 10 people on what their expectations for oil prices are you get 10 different answers I don’t think anybody knows how long this is going to stay. We took a best guess on what we see today in the marketplace and 25% reduction in rental revenue we think that’s reasonable for what we’re seeing to-date. We’re really aggressive on cranes we just eliminated all of them on a distribution side. We tried to be conservative but realistic. We’ll continue to moderate this thing I guess if oil stays at 40 to 50 bucks long enough yes they have some further impact going forward. But irrespective of that I think the way we’re positioned we feel like our oil patch exposure quantifiable and is manageable. And we feel like we can deal with this and it won’t be of any kind of question relative to our business at all.
Fred Lawrence: Okay, and I know some of the concerns I'm hearing out there with this O&G CapEx reduction scenario, people worried about residuals on used equipment to the extent that you guys need to sell equipment into the used markets, but I guess if I listen to your CapEx plans, look at the current age of your fleet, I'm guessing that you intend, at this point, to react to any kind of softening in O&G just by repositioning equipment rather than adding anything material to the used sales line. Is that the appropriate way to think about it?
John Engquist: That is absolutely correct, and it is our intent that we will sell less used equipment this year not more because of our fleet age we have no need to sell it and what you said if there is some softness in oil patch we’ll reposition that equipment and reduce CapEx in other areas.
Operator: We’ll take our next question from Philip Volpicelli with Deutsche Bank.
Philip Volpicelli: Leslie, first one for you. What's the manufactural floorplan at the end of the year?
Leslie Magee: 93.6 million.
Philip Volpicelli: And then just on these large projects, I think in the past you guys have mentioned $90 billion worth of projects. Is there any way for you to break down what's started, what's still in the future and what's been canceled out of that $90 billion?
Bradley Barber: We don’t have a current estimate in front of us. I think our comments go back to the past how did that $90 plus billion worth of work in Louisiana we said [indiscernible] half of it happened it would be really special for us and we still feel the same way. Some of those projects have kicked off all those notable large projects are in the very early stages with many more yet to come and we're still struggling with the clarity on an actual start day on some of those projects. So I don’t know if it’s very helpful but that’s our position is still relatively the same. We are seeing some projects get started but yet many, many others are yet to come.
Philip Volpicelli: Would you be willing to give us the names of the bigger projects that you've been expecting -- what I'm trying to get at is if we hear the next announcement like the Sasol gas project to liquids, I'm trying to figure out which ones would affect you the most.
John Engquist: Well, look, there has been a number of LNG facilities announced and two of them has started there underway and we’re participating in those projects. There is probably another seven or eight LNG facilities that have been announced and soon they all get canceled I don’t think all of them will but make that assumption it’s still going to be a good environment here. I mean with the ethylene and ammonia facilities methanol facilities I mean Methanex is spending a ton of money here. Again we just had a major aluminum manufacturing facility announced that’s going to employ a 1,000 people it’s a big long term project. We’re going to be in a nice environment here for the foreseeable future. And it’s just no reason for these traditional chemical manufacturing facilities to be impacted by oil. They’re driven by low natural gas prices. That’s a different situation with LNG facilities there is a correlation there and I understand that. So say they all go away and we only get to two that are currently under construction. That said we'll still be in a good environment. 
Philip Volpicelli : And On the revolver increase to 602.5, how much suppressed availability is left after that and what would be the availability on the credit facility, pro forma, that change in the size?
Leslie Magee: There is about 400 million of suppressed availability after the.
John Engquist: Increase. 
Leslie Magee: Increase. 
Philip Volpicelli: And what's the 136.1 of available that's after that facility increase or that’s prior to that?
Leslie Magee: Yes that's before -- that's at year-end, so it was just it was increase by the 200. 
Operator: [Operator Instructions] We will take our next question from Manish Somaiya with Citi.
Manish Somaiya: Congrats on a strong finish in 2014 and thanks for all the wonderful slides in the presentation. It really helps us understand some of the thinking behind the business. I just had a quick question on I guess the recent ARA show and the Ritchie Brothers auction that took place last week. I'm sure someone from the team was keeping abreast of all the activity and I was hoping to get an update on some of the data points that you guys gathered.
John Engquist: I am going to let Brad handle that one he was at the ARA show the whole time and he can probably talk about the auction. 
Bradley Barber: Yes, Manish the general consensus talking to the manufacturers and some of our competitors is very strong. They were right in a lot of orders -- the ARA is a show that's really more conducive to the small regional mom and pop type operations. Larger companies like H&E, United, Hertz typically attend at some level but more or so for manufacturer leading, the consensus so was very, very positive. As it pertains to the recent Ritchie Brothers auction I think what the general findings were that the prices have kind of leveled off and as I said a few folks ask, how concerned are we about used equipment pricing if they level off at current levels and I tell you current levels are pretty hot. So we feel good about the current pricing it was kind of more of the same there was a little bit of a mixed bag at the Ritchie auction but in general used pricing is not -- has not continued to increase at the same pace it's stabilized at a level that everyone's probably pretty happy with. 
Manish Somaiya: And then just one more. As we talk about the energy markets and the impact on H&E, have you guys heard from customers about potential price concessions on projects; existing projects, future projects, if they were to continue?
Bradley Barber: We have -- I mean we've had some of the larger contractors in the oil field who have just sent out blanket emails and they were looking at pricing what can you do for us. And we met with some of these customers. I can tell you today we have reduced no pricing to any of these customers and it's not our anticipation that we're going to decrease pricing to these customers. 
John Engquist: Now Manish if your question was is there a price negotiating going on with these major chemical manufacturing projects. I have not heard that -- I don’t think that's the case. 
Operator: We will take our next question from Barry Haimes with Sage Asset Management. 
Barry Haimes: Thanks for all the great slides and color on the oil and gas. Maybe I missed it, but did you have a specific forecast for CapEx and depreciation for 2015? And then my second question is, looking at some of the big project business, would you expect to see a greater impact on your rental business or on your crane business? And it sounds like some of the oil and gas related cranes -- new crane sales might be down in the first half and then it looks like you're expecting some of the big projects to pick up our crane sales maybe in the second half. Is that the right way to read what you said? Thank you.
John Engquist: Yes I mean look we're expecting some declines in crane sales year-over-year primarily due to the oil patch and we think the biggest impact will probably be in the first half of the year, so that's true. As far as CapEx we don't give CapEx guidance but as I stated earlier just by normal course of business it was our intent to pull our growth spend down 25% or 30% and we've pushed that a little bit based on softness in the oil patch on a gross basis which that will also moderate our growth capital. What part of your question did I miss beyond that?
Barry Haimes: Just on big project business, would [you get some more] business on the rental side or on the crane side?
John Engquist: I think it’s both. I mean if you look at this big Sasol ethylene plans in [indiscernible] we sold a lot of equipment that is being used on that site and we put a lot of rental equipment on that site. So it impacts both sides of our business. Brad, do you have? You are closer to it.
Bradley Barber: I have nothing to add to that.
John Engquist: Yes. It’s positive for both sides of our business.
Operator: And we’ll take our next question from Joe Box with KeyBanc Capital Markets.
Joe Box : Just a couple of follow-ups. Two questions on the rental business. One, are you guys still planning greenfield locations this year and two, how should we be thinking about incremental gross profit margins in the rental business? There are a lot of different moving pieces. Trying to understand if 50% is a good range or if that’s maybe a bit optimistic? 
Bradley Barber: Joe, this is Brad I’ll answer the greenfields, the answer is yes, we plan to open four to five locations. We were only able to get three open last year. The good news is they are performing well above expectations in the respective markets and we’ve got a newer location will be announcing here very soon. So yes, on the greenfields and you should think about four or five locations. I think Leslie can handle the other piece of the question.
Leslie Magee: On the incremental margins at the gross profit level for the rental business I think 50% ish is reasonable. that is before really considering any impact here recently on softening utilization I’ll say it will be sensitive to metric such as that. So just depending on how long utilization stays down or is impacted we’ll revise it for that. I think that’s a reasonable estimate for that. 
Joe Box : Okay. Thanks Leslie. And maybe just Brad, in terms of the locations, are you looking outside of the real oil heavy areas? And since you were at the ARA show, I’m curious, your takeaways and maybe what you think in terms of industry fleet growth from a capacity standpoint? 
Bradley Barber: We’re absolutely looking outside of the oil fuel areas. I don’t want to give the specific I’ll just say that we’re looking at areas that would be more as warm start, continuous growth opportunity in small to medium size commercial markets that have real growth in front of them. So we see plenty of opportunity. As far as capacity, most of the feedback I try to obtain there from manufacturers and it feels like everyone is being fairly disciplined. I think everyone has done a pretty good job on rate everyone's utilization last year improved I think year-over-year. And we expect to see more of the same. So I do not think there is going to be an over capacity with anyone competitor buying too much or being the irrational and [the since] that get that our biggest competitors are very focused on the quality of their revenues as are we.
Operator: [Operator Instructions] And with no further questions at this time I’d like to turn the call back over to John Engquist for any additional or closing remarks.
John Engquist: As always we appreciate everybody being on the call I hope we gave you a better view of what this slowdown in the oil patch means to us. We think it's very manageable and we’re going to have a really nice here in 2015. So thanks for being on the call. Look forward to talk to you on the next one. 